Operator: Ladies and gentlemen, welcome to the DSV Annual Report 2025 Conference Call. I am Sandra, the Chorus Call operator. [Operator Instructions] The conference is being recorded. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it is my pleasure to hand over to Jens Lund, Group CEO. Please go ahead, sir.
Jens Lund: Good morning. Thank you for joining us here on this investor presentation that we will have in relation to the publication of our 2025 results. Today, I'm joined by Michael Ebbe, and we will basically go through the presentation as we normally do. And once we've completed the presentation, we'll be happy to take your questions. If we skip to Slide #1, there's just the reference to the forward-looking statements that I would like you to pay attention to and then, of course, the agenda as well. The highlights of the year, I think, is clearly, of course, for us that basically, we now can announce that we complete the Schenker integration at the end of 2026. I would say that the -- both the feedback from the employees and certainly also from the customers has been very constructive because we managed to take out the uncertainty, both for our employees, but also for our customers. I'll say a little bit more about the integration on the next slide. So I'll move on to the financial performance. It's been a tough market. You can also see from the reporting in the last quarter that there's a lot of headwind on FX, plus all the geopolitical issues as well and also yields, of course, under pressure as well. So very happy to deliver on our guidance. Furthermore, of course, we can see that actually we do have good progress both on the Road side and also on the Contract Logistics side as well. So we're very pleased with that. On the cash flow, I mean, at the end of the day, we have to transform what we're doing into cash flow, and it's really great to see that all the efforts we put in there also are visible in our cash flow statement. Of course, the EPS growth, this is what we're aiming for as well, and we are well on track to deliver on that in '26. So also here, we are pleased. On the outlook, DKK 23 billion to DKK 25.5 billion. I think if you take into consideration the significant headwind on FX, I think actually that we are satisfied with the guidance. Of course, it's a tough market. But overall, we think it gives a good indication that we managed to drive the company forward also in '26. And then the synergies, we're going to achieve the DKK 9 billion. We are confident about that. As we speak, we have actually already now made significant progress on the countries where we go live also here in '26. So we have a high certainty or conviction that we're going to deliver on those numbers. And here's just a little slide on the Schenker integration so that it's clear that, I mean, in '25, the numbers, they include almost DKK 1 billion in impact. And then, of course, there's going to be impact here also in '26, as you can see. And then we will have sort of the full impact in '27. You have to remember when you integrate a country that it may be that we go live in the country, but it will take some months, sometimes 3, 4, 5 months before the integration is actually completed in the country, and we've moved everything together. And that's also when we then realize the synergies. Sometimes we also have to go through due procedure with the employees because sort of the arrangements that you would have in the different jurisdictions. So it's always a little bit back-end loaded, the impact of the synergies, and that's also what you see in this table here. If we look at the financial highlights, I think we've managed to basically grow our GP and also grow basically our EBIT as well. The guidance is also mentioned over here to the right in the column. And I think the presentation here is fairly self-explanatory. So I won't necessarily mention the numbers. But sort of skip on to the Air & Sea slide, where you can see that the significant headwind on the Air & Sea side, if you look at the numbers, it's clear that the GP is very much being, what can I say, a little bit under pressure because of the yields not least on ocean freight, but also on airfreight. Here, you have to think about a little bit the FX as well that plays a role. Conversion ratio, of course, due to the full year impact of Schenker sort of coming in so that it will come down to the trough, and then it will start to go up. This is quite normal for an integration. And of course, that then drags the margin down, as you can see. There's nothing in the things that we are seeing that indicates that we're not going to get the productivity back to the levels that we have seen before. If we look at the Air freight market, I think you can see the GP here, of course, on the left. And on the right, there's been some discussions also about the yield of 7,600. Of course, there's some Schenker impact that -- where there's been lower GP than we have, mainly because of a lower VAS component, so less value-added services. And then, of course, also the FX impact as well. So I think that's probably, what can I say, the most important takeaway from this slide. If we look at the ocean freight, of course, you can see the GP takes a hit. The VAS element of what we're doing to the value-added services, it's been fairly stable throughout the period. But of course, the freight markup when the rates, they compress, then the markup on the freight side, it also compresses as well. And that's really what we see and what we're doing. Here, of course, the FX part also plays a role, but you will also have the -- of course, the fees at origin or post landed depending on how the trade lane looks that might be in currency where it doesn't have an FX impact. But the line haul and typically either at origin or at destination, you will have FX impact for both of them. So that's a little bit on the Sea freight. I think on Road, it's -- you see we are almost 1.5x up on the revenue, of course, also on the GP. You have to remember that Schenker has more groupage so more system freight. So there's more infrastructure. So the GP also has to be higher. And then, of course, that we managed, what can I say, to convert an important part to EBIT, is definitely important for us as well. I think if we look at sort of the gross margin, it will continue a little bit up in the next quarter because you get the impact of basically Schenker being included in the numbers as well and the conversion ratio on a good trajectory. And of course, operating results are also trending upwards. They also have to because we have significant infrastructure in relation to the whole network product that we have. I would just like to mention as well on the Road side that we managed to divest USA Truck. It was an operation -- hard asset operation in the U.S. and we couldn't operate that with a satisfactory financial outcome. So we found a new owner for it, and we hope that it will be successful there, and we're very pleased that we managed to finish or complete this transaction. On Contract Logistics, you can also see that we are not 1.5x up on size, but almost and definitely growing our business significantly. Also on the GP side, doing really well. And then, of course, the conversion from GP to EBIT here is also some economies of scale and plus that we have actually sanitized also some of our contracts, et cetera. so that we manage to produce the outcome that we all really need to see from Contract Logistics where you need to improve the return on invested capital. So one thing is actually that we have a plan to reduce the number of facilities. We're working on that, but also then that we drive the operational results up through a very intense focus on productivity. So really happy to see that this development is going in this direction because I think that's something that we've all been looking for. So now I will hand over to Michael, and he will tell you a little bit about the numbers.
Michael Ebbe: Thank you, Jens. A quick run-through of the numbers. Yes, just short comments on the slide that we have here. For some of the KPIs of the -- that we have, it's clear that when we have the annual report, you have seen the, well, nice annual report, was announced this morning, that's clearly impacted by the Schenker integration and contribution. We can see that on the earnings, as Jens mentioned. You can also see it here on the transaction costs, which relates to integration cost of DKK 2.6 billion more or less. It's a little bit bigger Q4 due to the fast pace of integration that we have had. And then also, like Jens mentioned, the USA Truck business that we have divested is presented at discontinued operations as was the case for the last quarter. You also mentioned, Jens, that a thing that needs to be taken into consideration here is the headwind that we have predominantly in Air & Sea and the U.S. dollar and the dollar-related currencies. I think that also is notable here is the tax rates. Luckily, it's not -- every quarter we see a tax rate of 40% like we have this quarter. And this is, of course, not the long or even midterm tax rate, but this is due to the integration that we have progressed so fast. So this quarter is very, very, you can say, unusual for that one. Good to see that on our EPS that we are still on track for EPS creation in 2026. We jump to the next slide from the cash flow. You also already mentioned, Jens, and thank you for that, that we have had a strong cash flow both in the quarter and also on the year. This is something that has enabled us to repay some of the debt that we took when we acquired legacy Schenker. I think for the year, we've repaid DKK 7 billion and in the quarter, more than DKK 2 billion. So we are on track on reducing our debt. Another thing that is worth mentioning here is, of course, I'm very pleased with the improvement of net working capital. But I think we also said it last quarter that this is most likely not sustainable to have it at around 0%. Of course, we work hard to have it as low as possible, but the run rate will most likely be in the area of 2% to 3% as we have talked about earlier. Yes. And also last comment on that side is, of course, the gearing ratio is 2.8x. We are -- as I said, we have already paid back quite a significant amount, and we continue on that journey, so we can head down to a lower gearing ratio than what we see so far. Then what's more likely interest you the most. This is the outlook for 2026. Jens already mentioned that we have between DKK 23 billion and DKK 25.5 billion in outlook. Of course, it's an uncertainty period that we have had in the quarter and also what we look into with all the volatility that you mentioned, Jens. So this is the best, you can say, guidance that we believe that we can give right now. We expect the air freight and sea freight market to grow around 2% to 3%, in line with the GDP. Then, of course, the yield is something that we are working on. Of course, we'd like to have it as high as possible. We work, like you also mentioned, Jens, implementing the way that we produce in the DSV to focus on the value-add services, and that is hopefully something that will bring us to reach the guidance, obviously. But again, there are uncertainties, which is important to notice. And the tax rate also this year, in '26, will be impacted by the integration, again, coming back to the fast pace of integration, it will have an impact on the tax rate. And then also, again, Jens, and you have already said it all, but it's important that you are aware that the U.S. dollar-related headwind also, of course, impact our guidance. I think it's -- when we estimate, it could be around DKK 500 million. So that is something that we have to consume or assume into that numbers that we have. So last page before we go to the Q&A, some of the key takeaways. Fast progression on our most complex integration to date and still maintaining solid financial performance in challenging market environments. Also updated, you can say, time line on the Schenker integration will be done end of year 2026, with full financial impact on the synergies in 2027. The financial performance is challenging, but very well driven, especially by the Contract Logistics and Road business, which have a, you can say, higher ratio of our total EBIT than what we have been used to back in the days. And then the guidance that we have announced today, DKK 23 billion to DKK 25.5 billion. That was it, and then we have left quite some time for the Q&A session. So yes, please don't hesitate to press 1 and then ask the questions.
Operator: [Operator Instructions] Our first question comes from Alex Irving from Bernstein.
Alexander Irving: Two from me, please. First is on reconciling your messages on the gross profit yields. The 2026 guide of flat in Sea, slightly up in Air is clear, but you also state your ambition to raise yields to pre-deal levels. So there's a 2-part question on that ambition. How will you do it? And when will you do it? My second question relates to the IT stack in Air & Sea. How are you currently thinking about TANGO and the relative merits of investing in and adopting that platform globally versus eventually retiring it and using CargoWise One globally?
Jens Lund: Good. Well, I can have a go at it. I think the GP yields if we sit and look at them, I think all the freight contracts are being renegotiated now. When we looked into it in the past, I think there was a clear tendency on ocean freight that we produced significant higher level of value-added services than you did on the Schenker side, and Schenker had more focus on the freight markup if we look at it. So of course, we want to introduce our way of working and then phase that in so that we basically do more work at origin, produce more services but also at destination. So that will phase in over the year, but we should have the full year impact of these changes, I guess, up towards the summer holiday. Then of course, the freight markup, if that is basically related to the container rates, then, of course, that will be under pressure. So it will be impacted by that. And I don't really see that the rates, they are coming up, at least not in the short to medium term. So we will see the yields. They will not necessarily be the 5,000 that you had seen almost, but it will definitely be somewhat less. And then if we take the Air freight I think it's a little bit the same. We have, what can I say, it's not that big a gap on the VAS side that you have on the value-added services on the Air freight. And then you see the freight markup, basically, when we took over Schenker, they had contracted longer than we had. So I think some of these things will impact it. A little bit that these contracts, they taper off, and then we can procure at market. And then we will see how that translates in. But we still believe that, what can I say, the figure around the 8,000 is realistic. Of course, the FX can also play a trick here, which is also part of us being at 7,600 right now. So there are many moving parts, but I think that gives you a pretty good idea. Then when it comes to TANGO and CargoWise One, I think we had also written in the annual report that we have a data platform behind the platforms that allows us basically to keep both platforms in sync. So today, now, we then produce -- because it is -- we have the customer integrations more already on the DSV setup, but we still keep TANGO running in certain areas. And then I think, as you say, we will have to make a choice which platform to go to. And it's very likely that we will, over time, gravitate towards our own solution. And that's what we're working on right now.
Operator: The next question comes from James Hollins from BNP Paribas.
James Hollins: Jens, just on the synergies, I mean, clearly, everyone in the -- so and so talking about the DKK 9 billion, how high is it going to go. Are we officially having to move on from talking about what the DKK 9 billion might be, whether it's DKK 10 billion, DKK 11 billion, DKK 12 billion? And really just think about cost efficiencies, or whatever the hell you want to call it, beyond 2026 and the impact on '27. Or ultimately, is there scope for that DKK 9 billion to be guided, indicated or rather much higher as we go through kind of this year? The second one, just on asset sales. Clearly, congratulations on the USA Truck. Are we still heading towards sort of DKK 1.5 billion? I think you've talked about historically. Maybe give us some update on the speed of asset sales generally and obviously, how that links to the trajectory for the return of buybacks maybe in H2 this year?
Jens Lund: I think I'll answer the synergies. Michael, he can talk a little bit about the asset disposals afterwards. So if we take the synergies first, normally, when we do an integration, you are fairly right, then we have the initial plan, which we present to you and which we are working on right now. Then, of course, once the business plateaus, and we've done the integration, of course, there's an extra, what can I say, step in relation to that, actually, we would like to combine that step with also what we call AI and tech as well because we then take the platform that we've created and basically work on the transformation of that. If you follow some of us on LinkedIn, you can see that we're actually already moving ahead on that and mobilizing our leadership. We had the whole team -- the whole management team from the top 300 at an event where we start basically to mobilize for introducing transformational ways of working in our company. And it's always hard. Then do you want to label that Phase 2 synergies? Or do you want to label that AI and tech? We're actually going to talk to you on the Capital Markets Day about that. And we can also label it both, if you want, because it requires that basically we have a solid platform in place and that we can then develop that so that we drive the productivity out. Given our volume, the investment we make in this should, of course, be something that makes a material difference also for the company. Then the asset side, Michael?
Michael Ebbe: Yes, it's correct. Yes, we have mentioned before that we want to -- on the legacy Schenker, we want to implement the DSV asset-light methodology to a wider extent that has been the case in Schenker. That also means that we have a divestment of around EUR 1.5 billion to EUR 2-ish billion that we are looking at. I think it's important to notice that much of it relates to sale and leaseback, so we'll implement the flexible model with leases that we have on facilities and terminals. That also means that you cannot take for granted that this EUR 1.5 billion to EUR 2-ish billion will reduce debt 1:1. There will, of course, be some, you could say, impact that we take on the leases as well. And it is predominantly sale and leaseback transactions that we're working with currently.
James Hollins: Jens, if I could, is there any chance -- I guess you might say wait till May. If you were to move the DKK 9 billion to a new number based on, let's call them, additional synergies from AI and just working the business together, would you be happy to put a number on what the DKK 9 billion would be at in 2028 these days?
Jens Lund: I think we also look into something that is material. I think we are still, what can I say -- we actually have implemented some of it, but we are also, what can I say, mobilizing for the different business areas so that we can project the outcome. But we see that there is room for significant improvement. And it's -- I can put as much on as it's measured in billions. I can say that, but I don't really want to go too far into it now. But of course, the technology today, it allows us to basically perform many of the tasks that we do in a much more efficient way than we could before. And it's clearly something that we embrace.
Operator: The next question comes from Cristian Nedelcu from UBS.
Cristian Nedelcu: The first one, if I could come back to the Air yield in Q4. You've mentioned this -- the contract duration mismatch at Schenker. Could you help us quantify a bit how much of a drag on the yield in Q4 that was? And in relation to your -- as you mentioned on the slide, the aspiration on the midterm to lift the combined yields in Air, could you give us an anchor, what would an appropriate level be, 8,500, more or less, any indication? And secondly, if you allow me on Road -- on the 2 divisions, Road and Air & Sea, could you please help us? If we focus on the white-collar employees only, could you give us a rough split between production or revenue generation employees versus support and operational employees? What's the rough split in these divisions?
Jens Lund: I think if we look at the Road figures, you will have to speak to the IR team to get that level of detail. I think they'll be happy to give you some kind of a guidance on that. If we look at the Air yield, there are certain contracts that drag the yield down. I don't know exactly. I haven't calculated what part of the 8,000 down to 7,600 or whatever that is. Right now, we have 7,600, I think it is in yield in the quarter. So we've not made that calculation. You can get that perhaps from the IR team as well. What I can say is that right now, we are out contracting for volumes that we have to produce here in '26. And then many of -- some of the contracts actually, they continue all the way into '27. There's been certain trade lanes where Schenker have been very, very long. We've never been as long as that. And these contracts, obviously, given the market conditions, the rate has declined. So they're out of the money. Then you can say, is it an onerous contract? At the end of the day, then Michael can probably provide a little bit for it, but he cannot take the full pain away. And that's basically what you see reflected in the numbers. Then when we work on it, of course, you have the FX drag. And it's very difficult to put a hard number on it. We've tried it before. But there's a lot of moving parts in that number. So let's say the dollar goes down to below -- we've measured towards Danish kroner, it's now -- DKK 6.33 it was yesterday. So it costs DKK 6.33 to buy $1. But if let's say, it goes below DKK 6, then that will impact the yield. Last year, in Q1, it was more than DKK 7 to the dollar. So when you translate the income into Danish, it means a lot. So the yield guidance here, we can see that there's less VAS, we can lift it on that. We're going to do that over the next couple of quarters. And then, of course, the rest is moving parts.
Cristian Nedelcu: Can I have a quick one on your production cost per unit. If we look pre-Schenker over the last 5 years in Air & Sea, your production cost per unit has increased 25%, 30%. And this is despite the fact that your volumes in Air & Sea have almost doubled before the Schenker acquisition. And this is totally in contrast with the historical operating leverage you were showing when volumes increased. Could you help us understand what explains this development? Is it fair to assume there are some low-hanging fruits in terms of improving productivity in Air & Sea or not really?
Jens Lund: I'm not really sure what period you're measuring on right now. Is the baseline the last quarter? Because then, of course...
Cristian Nedelcu: The last 5 years, the sort of 2019 to 2025 before the Schenker integration.
Jens Lund: Before the Schenker integration, I don't know what your numbers are, how they look. I think if we look at the number of shipments per person per day, we've been driving it up. Then, of course, there are other factors if you sit and look at it over this period. I don't know exactly what the baseline is for this calculation. So we have to get the numbers. It's really difficult to comment on, what can I say this -- so I think we will have to get the details in, and then we'll be happy to provide you with an answer and also break it down so that you get, what can I say, the proper response.
Operator: The next question comes from Alexia Dogani from JPMorgan.
Alexia Dogani: Just firstly, can we go back again a little bit on the yields for Q4? Clearly, that was a disappointment versus kind of what the market was expecting. Can you help us understand what really drove this? Was it kind of the Schenker underlying, which was driven by the purchasing decision? And customer loss, you're saying there hasn't been anything significant, but GP is coming weaker than expected. So can you help us understand again the moving parts? And then secondly, very encouraging your comments, Jens, about kind of the AI and tech opportunity. Going through the accounts, you also highlighted, however, as a higher risk to the business. How should we kind of see those 2 parts given what you just said in terms of kind of potential earnings upside?
Jens Lund: I think if we look at the GP down, if you sit and look at it, it's clear. If we look at the customer base, just to get this, what can I say, clear, we don't really see any customers that have left us. But let's say, for example, that you work in automotive. It's not a small vertical for us. And let's say, you are a German OEM that produces cars in China. Then, of course, the demand for foreign cars in China has declined quite a bit, and they now procure local cars instead. So of course, if you sit with that customer, you still have to trade lane. You still have the volume, but there's less volume to move. So that is what we see on some of the accounts that they are down trading quite a bit. So here, of course, automotive is probably the vertical where we've had the most headwind. So it's not that we lose the customer, but that there's less work to be done. Also, many industrial companies have some headwind, of course, not the ones that are related to the technology boom that we see with data centers, but there are many other industrial companies that face some headwind. Retailing has been fairly subdued as well. I think that's fair to say. We serve some of the luxury brands. They're very important customers for us. I think you're probably also well aware that some of them perhaps have had a period where it's plateaued a little bit for them and perhaps even some of them contracting as well. So some of these areas, you haven't lost a customer, but they ship a little bit less. So that's something that we are feeling. Then on top of that, for the GP, I think it's fair to say that it's crunch time when it comes to, for example, ocean freight and then, of course, also the FX impact. So if I look at all this, then it really becomes material when you look at the numbers. So I would probably say this is what is going on. It's -- in a way, it's a very rewarding market because you really have to earn it now, and your service has to stand the test. And then Michael, do you want to say something?
Michael Ebbe: There is also another thing that you need to bear in mind when we talk about yield. We also have some economies of scale for the yield. If we are able to push more volume through, that should also have a higher yield. So I would be careful to draw too much attention to Q4 isolated. But again, we can talk with Investor Relations of some of the building blocks. But lower volume will also sometimes be pressure a little bit on yields because there are some of the facilities that we cannot use to the extent that we want to.
Jens Lund: Al and tech, I think it's clear that we have to drive the productivity up when it comes to this. There are domains where we're already doing that, and we want to continue basically to have a significant focus on that because at the end of the day, when the business is consolidated, then we have a certain GP. And then, of course, we have to convert that into EBIT. And here, it is important that we basically embrace technology for that. It's been something that we've been doing for years. It's also part of our ability to acquire a company like Schenker and integrate it. It is, because of the back end. So we're going to continue on that.
Alexia Dogani: And just to help us a little bit with the math, can you give us an indication of the combined sea exposure to VAS, to value-added services, including Schenker? Because if I read your comments correctly, you expect ocean rates to soften in '26, but that softening is offset by an increase in value-added services for the Schenker portion. So if you can just give us the split roughly, would be very helpful.
Jens Lund: I would say the VAS that we typically would have given the yield that we have now is probably 2/3 of the GP and then 1/3 of the GP would then be, what can I say, the freight markup in what we have, roughly. Sometimes the VAS has been perhaps down to the 60%. But now I think it's at a higher part because the freight markup is lower. So that would probably be a good indication for you to look at. Then if you look at the Schenker part, it's probably had 60-40, the other way around for the business. So we then have to lift that up. But I think also the freight markup might decline a little bit on the Schenker part as well. But they would have had a lower GP per unit than we've had overall. So I think that's the building blocks I can give to you.
Operator: The next question comes from Ulrik Bak from Danske Bank.
Ulrik Bak: Just a question on your guidance. So given the full year impact from Schenker and the synergy uplift in '26 versus '25, the '26 guidance midpoint suggests negative EBIT growth for the organic business or the existing business that you also had last year. In that context, are you planning any cost measures to the existing parts of the business on top of the, yes, cost synergies? And then the second question is on the guidance sensitivity on the USD FX. Can you give some ballpark estimates if it deteriorates another 5% to 10%, the USD, what it would mean for your guidance?
Jens Lund: Yes. I think if we look at the negative growth, you're completely spot on. This is why we have to drive the productivity up and, of course, introduce more technology, so that we get a higher productivity. I don't know if -- so it's -- we can call it whatever we want, Phase 2 synergies, AI and tech, or if we want to call it something else. It's, in reality, the same we are talking about. We need to increase the productivity, and that's where our main focus is. Michael will take the other one.
Michael Ebbe: Yes. Of course, there are many moving parts for the USD, but roughly, if we take, you can say, 4% decline compared to what we have in our base right now, that will mean maybe DKK 500 million. So of course, there are some uncertainty.
Operator: The next question comes from Jacob Lacks from Wolfe Research.
Jacob Lacks: So with the integration now expected to be complete this year, can you give an update on how you're thinking about capital allocation? Is there a hope that there can be another deal in '27? And then one on AI. Your U.S. -- one of your U.S.-based competitors just talks a lot about AI and is showing particularly strong labor productivity within the truck brokerage business. What segments do you think are the biggest opportunity for you? And are there any applications you're trialing to date that you're able to discuss here today?
Jens Lund: Yes. I mean, we would hope there would be a deal in '27. So it's clear we have, many years ago, laid out the way we allocate capital. So let's say we have too much debt compared to our aspiration. We have a target of 2x EBITDA. Then we focus on repaying that debt. The next thing that we do is -- we can also, of course, look at it sooner, but we really prefer that we get the debt down to 2x. Then if we can do something to develop the business and invest in the business and allocate the capital, then, of course, that has a significant focus as a #2 on that list. And then the remaining capital, we want to pay that back to the shareholders at the end of the day. And I think this capital allocation policy, I don't know, we wrote it more than 20 years ago. And I think we've stuck to it, and I think we've got a great alliance with basically all our shareholders. So I think that's -- yes. So that's basically where we add on that. And what was the other question?
Michael Ebbe: AI.
Jens Lund: AI. There's a lot of talk, of course, of AI. I think if you look into the numbers of many of those companies, I was in Davos, they had AI and then they had another thing they talked about, it was called ROAI, so return on the assets invested. And I think we still need to see that in the numbers of many companies. I think the company you're referring to, you can probably see a little bit on the land-based business in the U.S. You can see that the productivity has come up. I think if we sit and look at it, where we can get the productivity up is in domains where there's a lot of labor. So for example, for us, we are on the custom side, introducing what we call the AI Factory, where we globalize the way we do customs formalities. We have more than 5,000 people doing that in the group today. We could take a booking domain, which is also an area that we are working on right now and getting in control of and where we can introduce technology like that. Then we transform the business. We can take a quote domain. It's another domain that is very important as well when you run the business. And take it domain by domain through the flow and basically get yourself organized so that you embrace the technology, not on a personal level. When you introduce technology, you have to understand you can do it on an enterprise level, regional level, you can do it on cluster, country, branch, department, person level. The further you go down into the stack, the less benefit you get of it. This is the reason why I think it's very wrong when people they say, "Well, we got thousands of agents." Because the improvement, if they replicate the same process, is very slim. It has to be something that is done on an enterprise level. This is the only way we've managed to create value. This is also how you transform the business. So that's a little bit of AI, but I think I'll save the rest for the Capital Markets Day. Otherwise, there will be nothing to talk about.
Operator: The next question comes from Kristian Godiksen from SEB.
Kristian Godiksen: A couple of questions from my side. So to start off with, wondering about the situation in the Red Sea, how that plays out. So yes, both on your assumption and your guidance and also what to think about it? If you assume a return, what is the opportunity for the increased volatility and complexity that will -- I guess, that will mean? And then I guess, on the back of that, potential further pressure on freight rates from overcapacity and hence the pressure on the markup? That would be the first question. And then the second question would be on the -- just wondering on what are the main delta in the guidance range in terms of parameters? Is it where you see the most uncertainty? Is that yields, phasing of cost takeouts, volumes or other? That would be good to know.
Michael Ebbe: I'll give it a go. On the Red Sea and how it impacts, I agree that, that will free up some capacity, obviously, if you get the transit time reduced quite a bit. So that will free up additional capacity of the fleet and the vessels. So that will, of course, like you maybe allude to, put additional pressure on the freight rates, coming back to the discussion we had just some minutes ago with Jens and the value add versus the freight pass-through part. But of course, the pass-through part that can come under pressure. What also though remains to be seen is whether if everybody of the carriers start to reroute again, I think that will put some temporary pressure on some of the ports in Europe. So it remains a little bit to be seen how the impact will be, the way I see it, at least. And then the main drivers for the guidance, it is predominantly the yield factor. I would though say we talk a lot about the yield now, and that is, of course, very clear. And of course, for obvious reasons, right now, our -- roughly 60% of the business is now Air & Sea and 40% is Contract Logistics and Road, which has Contract Logistics and Road, which we've seen quite good pace in Q4. It's a little bit more stable, you can say, environment. But of course, the yield is the biggest swing factor in the guidance that we have.
Kristian Godiksen: Just one follow-up on the Red Sea part, just to make sure. So what are your assumptions in the guidance? Is that just as is now? Or what is the assumption there, sir?
Michael Ebbe: Yes, that is as is. That, when we prepare the guidance, that is as is. Our base scenario is as is.
Kristian Godiksen: And if you were to give some kind of sensitivity, if you have -- I guess that would be fairly okay to assume that you will have a reopening of the Red Sea, then on the margin, what would that mean? As I hear you, potential more value-added services, but obviously, pressure on markup. So what would that do to your expectations for 2026?
Michael Ebbe: I think you need to put it into spreadsheet because this will be then 60% of the business, and then it will be 50% of the GP, and then it will be 1/3 of the GP. I cannot answer specifically on that one.
Jens Lund: Let's put it like this. Of course, if the freight rates come down, it puts a pressure on the freight markup. Then you'll probably have an assumption for what happens and then perhaps you can try to model it like this. Yes.
Kristian Godiksen: Yes. But I guess some offsetting factor from potential value-added services and all, the complexity that would mean from the congestion in European ports and the likes, I guess, there's some offset there -- offsetting factor.
Jens Lund: I mean a custom export declaration, if you do that. It's an export declaration. A local collection is a local collection. So these things, they are not necessarily impacted by the freight markup. So that's fairly stable, what you're doing, consolidation of freight, freight documentation, preparation in the gateways, et cetera, et cetera. All these things that we get fees for, they are services. So they should be reasonably stable, I would say, or highly stable actually. So -- yes.
Michael Ebbe: And lastly, of course, it remains on how the carriers, they react. They're the ones setting, you can say, the rates on the sea.
Operator: The next question comes from Marco Limite from Barclays.
Marco Limite: I've got 2. One is on the '26 guidance. So in your guidance, let's say, by division, the moving parts by division, you are saying yields stable in Sea, up in Air, volumes up, Road sequentially improving, Contract Logistics continues to grow. So directionally, all the divisions are improving. Now if I look at your guidance like-for-like, take out FX, take out synergies, basically, you are guiding for '26 like-for-like down DKK 1 billion to DKK 2 billion, but all the divisions are improving. And then also, if I, let's say, do the fourth quarter, DKK 5.6 billion EBIT times 4 plus the extra synergies, I get close to DKK 26 billion. So yes, why you are basically guiding for EBIT down year-over-year at group level, but all the divisions are improving and the Q4 exit rate is not that bad? This is the first question. And the second question is on Q4. Now out there, there are some concerns that the quality of your Q4 earnings was not amazing because there was a big beat in CL and Road, miss in Air & Sea. And people are -- some people are stressed that this is -- the quality of the earnings is not sustainable. Can you please explain what is behind the big beat in Contract Logistics and the miss in Air & Sea? Is this group cost allocation more into Air & Sea, less in CL? How we can be relaxed that profitability in CL and Road is sustainable?
Jens Lund: Yes. I think, Michael, he can at least start with the guidance and the quality of earnings. Perhaps I can just allude to that beforehand. I think the quality of earnings, if you sit and look at it, I think we have explained what happens in the Air & Sea side right now. I think if we look at the quality of earnings in Road and CL, if you look at it last year, actually, we had a pretty bad quarter on the Road side in DSV. So the baseline is pretty good. The business is 1.5x larger. So if you adjust that, I think more or less that we are operating at the same profit margin as we've done before, perhaps even a little bit lower. Right now, we are rightsizing 2 networks and basically combining them. So I think it's -- there should be some improvement possibilities within the road side when we come to that. If we look at CL, it's not exactly 1.5x up. but there's not much missing before that. So if you look at the DSV side, where we had been a little bit under pressure, now we are cutting costs, and we are rightsizing the business. We have a margin around, 10% on the CL side. So I'm not sure what the people they are talking about. Then I think if we look at the Air & Sea side and the yields, I think the yields and the volumes for that sake, as we have explained, it's under pressure right now. This is the reason why the results, they look as they do. But I think we have a plan where we cut cost and then where we are facing the market and where the Schenker exposures. Either the contracts that have been entered into the customers or the procurement contracts that they have had, they run out and then they become, what can I say, DSV standard procedure and standard contracting. So I think that's, in reality, what happens in the business. There might be a lot of speculation about it, as I can understand. But this is how the business is operating. Then I think Michael can say a little bit on the guidance.
Michael Ebbe: Yes. Two things. First of all, I think when you look at Q4 isolated and you benchmark towards last year, remember that last year was very strong in Air & Sea, so it's strong comparatives, whereas CL and Road were softer last year. Another thing that you need to bear in mind is that with the acquisition of Schenker, the typical DSV seasonality changes a little bit. So we should have higher earnings in Q4 than what you traditionally in the legacy DSV have seen. In terms of the guidance, basically, I think it already has been answered earlier in the call where it was roughly around 1 point something miss, you could say, on less EBIT. And I think we have touched upon the reasons of the pressure that we have seen in Air & Sea. And I think that it is -- we have embedded, you can say, slightly reduction in EBIT on, you can say, what you call organic or whatever.
Operator: The next question comes from Patrick Creuset from Goldman Sachs.
Patrick Creuset: Just on Road, a couple, please. Just firstly, on the cycle, if you could comment a little bit what you're seeing on the volume side? And also pricing, both from the outside, seem a little bit firmer, firming up into 2026? And then maybe also what you're seeing going into this year in Road from a cyclical point of view, given the low point we're coming from? And then secondly, I mean, looking at your Road margin at this early stage of the integration in Q4, seasonally low quarter, you're exceeding 4% margin already. And then someone else mentioned your U.S. peer now pushing more into the high single-digit margins. Historically, you've performed comfortably in line, if not above, with said peer when it comes to productivity and EBIT margin. So more structurally, I mean, where can you take this division, I mean, at least directionally without taking sort of -- previewing the CMD. But what's the opportunity here in terms of step change in margins, specifically in Road?
Jens Lund: Yes. I think if we look at Road right now, I think it's -- I mean, we have some exposure in the U.S., but it's limited. We have some exposure in Asia, the Middle East, a little bit in South Africa as well. So I'll probably say around 90% of the volume is actually here in Europe, if we sit and look at it. So it is very exposed to the European market. What we've seen is actually, as we talked about it actually in the last quarter of '24, we saw a lot of pressure, and that sort of went into '25 as well, and I think all the rates they had adjusted at that time. And right now, we don't see that there's a new wave because the margins are so slim, so the market has reached the bottom. So now the volumes, it's perhaps growing 1% or 2% road as we speak. And there's something that tells us that many of these investments that are going to be made in Europe, money being pumped out into the economy. It could lead to a situation where there would be a potential -- a little bit better situation for Road during '26. Right now, we've not factored that in, but that would be a little upside that we could get. And that might even drive the rates a little bit up because I think much capacity has gone out of the market because it's really compressed quite a bit. If we then look at the Road margin, I mean, if we sit and look at it, we take 2 networks. We take, what can I say, one of them basically out and produce it in the other one. So of course, if you then sit with fixed infrastructure and cost, there's going to be a margin expansion because of that. And I said before that we need to create, what can I say, a solid return on the invested capital on the Road side. And in order to do so, you have to gravitate towards something that is double digit. It might sound a little bit, what can I say, ambitious, but that is what we need to do. And I can tell you right now, what we are working on is actually a strategic, what can I say, plan where we say we use this zero-principles thinking where we said, "How should the network look?" And then try to not think about what we have today, but which terminals do we actually need to operate the volume that we have. Because you come out of legacy, you come out of 2 legacy companies, and the infrastructure is probably not sort of matching the requirements that we are having. And here, we see that we should be able to take out additional terminals, additional infrastructure so that we could leverage on what we have, get a higher throughput and then, of course, have less invested capital. And I mean that's why we're all here to reduce, what can I say, the capital that we deploy and maximize the throughput of it so that we get the return that everybody wants. So that's probably the -- what you're going to hear a little bit more on the Capital Markets Day, but I gave you a little teaser on it.
Michael Ebbe: Maybe it's a little bit audacious, but I remember at the last Capital Market Day where how you referred to the Road business, if you set it up correctly. But let's see what you will say next time we have the Capital Markets Day.
Operator: The last question for today's call comes from Cedar Ekblom from Morgan Stanley.
Cedar Ekblom: A follow-up question on AI. I know you don't want to talk too much about it and save it for the Capital Markets Day. But your share is moving quite strongly as the call is going on. And I expect that that's got something to do with you sort of mentioning that there is potentially billions of savings to come from AI. And my question relates to how we think about the retention of those benefits, because freight is an industry where historically, at least, when you've lowered your cost to serve, you've had at least some of that being passed on to the customer. So maybe it's a bit more of a medium-term question, but I'd like to understand how you think about sort of differentiating the DSV strategy as it relates to AI, productivity, automation, et cetera, relative to what I'm sure others in the industry will also be looking to achieve.
Jens Lund: I think I actually answered that question a little bit, because you can introduce AI in many different ways. I think the way we want to do it is we want to transform the business. So it means that we organize ourselves in a different way on enterprise level. So let's continue on the customs example. So beforehand, customs could be handled either on a desk or by a person, sometimes in a department, sometimes on a branch level, sometimes on a country level. Today, we move these people that do that into a hardline organization that basically uses technology that is very advanced. And then the people that sit at the fore water, they get an SLA. So they get a service from somebody else instead of producing the thing themselves. It's very hard to drive those changes in 90 countries and get -- create a global organization for that. So here, we use the change capacity and the governance model that we have to create that. I think many people are reluctant to make those kind of changes, but this is the only way you can capitalize on the technology. So then it's how much change capacity do you have. We have to get there first. And the people that don't make that, they will have -- it's not AI that is the problem. It is your colleague that embraces AI in a better way that is the problem. And we believe this is the better way. So we want to be the problem for everybody. Okay. No. I've got a little cough, but I actually wanted to finish off by thanking for your interest. I would also like to thank all the DSV employees for their hard work, all their efforts. It's been a remarkable quarter and a remarkable year, and I can't thank you enough and also our customers for their trust. And we look forward to catching up again and speaking to you after Q1. Have a good day.